Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the results announcement from the fourth quarter ended December 31, 2020. [Operator Instructions].  If you do not have a copy of the press release, it is available at the Investor Support section on the company's corporate website at www.geo-park.com. A replay of today's call may be accessed through this webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of the company's business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars, unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Financial Officer; Martin Terrado, Director of Operations; and Stacy Steimel, Shareholder Value Director. And now I'll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you, and welcome, everyone. We are joining you this morning with our executive team in Bogotá Colombia and Buenos Aires, Argentina to report on our fourth quarter and full year 2020 financial results, present an upgraded work and investment program for 2021, and highlight our steps to continue returning more value to our shareholders. As everyone has personally experienced, 2020 was a historically challenging year, and we must first recognize and express gratitude for the super-human efforts by the GeoPark women and men that made it possible for us to prevail through the storms of 2020 and successfully continue along our hard-fought 18-year growth trajectory.  As we have done repeatedly in our history, GeoPark has emerged from this crisis as a better and stronger company today. Our bottom line illustrates our accomplishments. We kept our teams safe and healthy. We operated in the field without interruption for 365 days. We grew oil and gas production for the 18th straight year to over 40,000 barrels per day. We found more oil and gas and now have 2P reserves of 175 million barrels with a net present value of $2.5 billion. We expanded our Colombian exploration resources to over 750 million barrels with increased acreage in the Llanos and Putumayo basins.  We beat down each and every cost and achieved savings of over $290 million. We funded all our work and obligations with our own cash flow. We invested $75 million and recovered nearly 3x this amount in EBITDA of $217 million. We acquired a new company, Amerisur, and fully integrated it into our company. We completely restructured our asset portfolio and organization under our revised business model. We strengthened our balance sheet and almost doubled our cash in hand to $200 million. We provided important aid and support during the pandemic to our neighboring communities. We move to reduce our carbon footprint and minimize social and environmental impacts. And even with low oil prices of $40 to $45, we reinstated our shareholder value initiatives with share buybacks and cash dividends.  As always, the underlying foundation for GeoPark's performance is our in-house integrated value system we call SPEED. This program was a founding element of our company and one of our proudest accomplishments, always pushing us to be the employer of choice, partner of choice and neighbor of choice. SPEED stands for our priorities of safety; prosperity, including governance; our employees; the environment; and our development of communities where we operate. We consider this ESG plus, and we welcome the increased scrutiny from investors about an area where we excel.  So 2021 is already well underway with 7 rigs at work. Seismic being run to identify new prospects on our high potential acreage and our team fully engaged in getting every molecule of hydrocarbon safely, cleanly and profitably out of the ground and to market. With higher prices and increased cash generation, we are accelerating our profitable production growth. We have expanded our work program to now invest $130 million to $150 million to drill 37 to 42 wells, focused mainly on the continued development of our prolific Llanos 34 block and some high-impact drilling on our surrounding blocks in the Llanos basin, including the CPO-5 block. We look forward to executing this exciting, fully-funded, risk-balanced work program and developing our big growth opportunity in Colombia, while maintaining a strong balance sheet and continuing to return tangible value to our shareholders.  Thank you. And we would be pleased to answer any questions you may have.
Operator: [Operator Instructions]. Our first question comes from the line of Stephane Foucaud of Auctus Advisors.
Stephane Foucaud: I've got actually two. So the new CapEx program -- activity program for 2021 is based, I think, on $50 to $55 a barrel. We are currently north of $65 a barrel. If oil price were to remain at that level for the remaining part of the year, would you consider either accelerating again the activity program or increase dividends, share buyback, more share buyback or pay down debt? Can you probably give where -- your thought out that would be great.  And the second, I noticed that the Putumayo production, I think, is down on protest at the minute. And I was wondering whether the -- if the production guidance for 2021 was including anything for Putumayo. Any if yes, how much?
Andrés Ocampo: Stephane, thank you for your questions. To your first question, with respect to our new CapEx guidance, $50 to $55. If oil prices remain at the levels where they are today, I think, probably it's going to be a combination of your items. Always the first priority for our excess cash generation is to reinvest and accelerate the development and exploration plans in our existing asset portfolio. And then following that, we always do a combination of shareholder value return and balance sheet management.  So I guess, it's most likely going to be a combination of all those 3, taking into consideration of the fact that we have debt, and we want to continue on our deleveraging trend. We want to continue also expanding our shareholder value initiatives, but also reinvest to accelerate exploration and development on our existing assets. If oil prices remain at the levels where they are today, we would expect to generate significantly more free cash flow from our assets that will allow us to do all that.  And then on your second point, about our production in Putumayo, yes, the guidance that we gave, factors in this brief period of production setting. As of last night, we were in conversations with our team on the ground down there, and the situation has been resolved. And the production is actually starting to flow back again as of this morning. So we would expect the production to be back to normal levels of around 2,400 barrels a day over the next 3 to 5 days. So the situation is normalized, and unfortunately, this was an event to which we were not a party. This is simply a protest against the state where we are basically stuck in the middle. But luckily, the good news is that the situation has been resolved and production is flowing back again. And yes, this stock was included in our guidance -- was factored in our guidance for 2021.
Operator: Our next question comes from the line of Ricardo Rezende of JPMorgan.
Ricardo Rezende: James, Andrés, Stacy. So a couple of questions on my side. First one, if we think about oil prices remaining where they are now, I'm just wondering if you could, by any chance, actually accelerate your hedging program and try to lock in those prices above your guidance for the year.  And then the second question is on potential new projects for the year or areas where you could be looking at maybe acquiring some blocks or new auctions. If you could comment on that, that would be great.
Andrés Ocampo: Sure. Thank you, Ricardo. On the hedging question, yes, I mean, this is the time where you want to accelerate your hedging strategy because this is the time when hedging becomes available at better costs. Today, we are around 70% hedged for the first half of the year, around 50% hedged for the second half of the year. And starting on the first quarter 2022, probably at around 15%, 20%. So we are actively adding more hedges, probably more on the second half and the first -- on the second half of this year and the first half of next year. And the levels that we are seeing today in the market are more or less floors of $50 with ceilings around $75. If we can capture levels like that for Brent, we will definitely start adding more volumes into the mills.  And then with respect to the opportunities and new projects, but you know, it's a key component of our business, and we are in active participation in multiple, different divestiture initiatives that are going on in mainly -- probably all of the countries in the region. There are very significant projects being offered for sale in Brazil today, both onshore and offshore. There are some attractive acreage being -- become available in Colombia as well in the Llanos spacing, but also in the middle mark.  And there are some other opportunities, and we -- as we said, and we always say, we are actively looking and participating in all of these projects. But also, as we always say, in 2019, we did this significant line for us around Llanos 34, and we're consolidating and doing -- anticipating all the works to try to accelerate our exploration campaign within our organic portfolio. So if anything, we have set the bar higher for new projects to come to the company, and we're conservative patient buyers. But if the opportunity comes, we'll definitely take it.
Operator: Our next question comes from the line of Alejandro Demichelis of Nau Securities.
Alejandro Demichelis: Few questions, if I may. First one, please. Could you indicate how you're seeing the cost evolving now that you're accelerating activity levels? How we're going to retain some of those gains that you executed during last year? Or is part of that kind of coming back to the first question.  Second question, on the production side of things. If we look back to, say, first quarter of 2020 before COVID, you were producing 45,000, 46,000 barrels a day on average. What would take for you to go back to that level? Do we need more investment than the one that you're guiding towards now?  And probably a third question, if I may, is on the exploration program. With the acceleration of the exploration, how much of the prospective resources that you indicated of 750 million barrels, you think you can be accessing with the current exploration program.
Andrés Ocampo: Thank you, Alejandro. Your first question with respect to our cost basis, there is a couple of elements that come to play in our cost base. One is the fact that last year, we reduced a lot of our costs. But also, we -- for a period of time, we shut in some of the production that was at higher cost. So with Brent about $50 or $55 and even beyond that, some of that production, obviously, will come back to produce. And that means that our consolidated OpEx per barrel may show a slight increase compared to last year. Last year, we were in an average of more or less $7.5 per BOE. And the lowest was in the second and third quarter at $6 per BOE on a consolidated basis.  So for 2021, at these prices, we're estimating it to be more or less around the similar -- the average are a little bit higher. So $7.5 to $8 per BOE is a good number for full year 2021 at $50 to $55 Brent. Another component of that is also that when oil prices recover, the FX rate in these countries, in Latin America tends to appreciate and around 70% of our OpEx base is in local currency. So those 2 go more or less against each other, the FX rate and commodity prices.  With respect to your question about production. We think one thing that is not noted in the guidance we gave, I mean, on an average basis, the increase is roughly 1,000 barrels compared to our previous guidance with the CapEx that we're incorporating and only half of that CapEx is for development. But with this CapEx, as I said, on an average basis, may not look so significant, but looking at the shape of the curve, before we were looking at more flattish with a slight growth curve, now the curve shows some growth towards the second half of the year.  So probably, by the end of the year, we should not be that far from the 45,000 -- 44,000, 45,000 that we were before. Additionally, I would mention that our main asset today, which is Llanos 34, we're allocating most of our capital there. That asset that has historically been a huge growth engine for our company is now migrating into a new phase of a significant cash machine, which -- with very little CapEx is spitting out a lot of cash rather than spitting out a lot of growth. So we welcome this new phase of this block, but probably, at this point, we're focusing a lot more on generating cash flow and profits rather than showing fancy growth digits.  And then your last question, how much of the full prospectivity that we announced in our recent audit. Are we targeting with the 2021 program? I would say, it's a small fraction. So it's something around 30 million to 50 million barrels, approximately an average of the total un-risking resources of about total pool. So a lot of that is in the CPO-5 block. A lot of that is in the remaining Llanos acreage. And some of the investments that we are doing this year, both acquiring 3D seismic and advancing on the licensing process, is to start getting ready all that acreage for us to be ready to drill some more prospects in 2022 and on.
Alejandro Demichelis: And could you give us -- I know you have a lot of flexibility in the program, the exploration program, I mean. But could you give us some kind of split of how many wells are going into CPO-5? How many wells are going into the other block?
Andrés Ocampo: Yes. It's more or less -- more or less this is not going to be exact. In CPO-5, we have planned more or less around 5 wells and 4 of them are going to be exploration wells; and one development well, which should be the first well of the campaign that we're hoping will be spud in May or June this year. Then we're targeting 2 wells in Llanos 32. One exploration well in -- sorry, the 2 wells in Llanos 32, those are two exploration wells. One exploration well in Llanos 34 and one exploration well in Llanos 94. That is all the exploration wells that we're planning for this campaign.
Operator: [Operator Instructions]. Our next question comes from the line of Daniel Guardiola of BTG.
Daniel Guardiola: Andrés and James, I have a couple of questions. My first question is related to realized prices. I understand you guys are very active hedging future production through different mechanisms, and I wanted to know how exposed you are to the upside of oil prices, considering that today, oil prices are at $68. So I wanted to know, if indeed, oil prices stay at this level, if you're going to be benefit of these levels. So that's my first question, okay? So if you want -- I mean, you can either answer it or I can go forward and ask the other questions as you like.
Andrés Ocampo: Okay. Daniel, sure. I can take that one, and then you can ask the rest, if you want. So we are exposed to the upside in oil prices. If they remain at these levels, that upside is limited by some of the hedges that we have in place, particularly, especially for the first half. So the first half of the year, the full upside, we will capture it only or roughly 30% of our production. The rest of our oil products and the rest of our oil production, 70% is hedged and has an average cap of $52 -- more or less, $52, $53 per barrel. The full detail is included in the release.  And then for the second half of the year, we have around 45%, 48% hedged. So half of our production will experience good upside. On the other half, an average cap that is higher than the first half. Let me check for one second. It's closer to -- the ceiling is for the second half of the year is around $60, $61 per barrel. So I would say, we're more limited in the first half than we are in the second half. For the second half, we get almost the full value. And then for next year, we're fully exposed.
Daniel Guardiola: Okay. So just to make sure I totally understood your answer. So for the first half of the year, you have a cap at $60.
Andrés Ocampo: No. For the first half of the year, we have a cap -- at the first quarter is $52 Brent, and the second quarter is $54. And that only applies to 70% of our production. So 30% has no cap and no flow. And then for the second half of the year, the ceiling is $60 that applies for 48% of the production. So 52% of the production has no cap. So it's fully exposed.
Daniel Guardiola: Okay. Great. Great. Understood. And my second question, if you -- yes, sorry.
Andrés Ocampo: No, no, that's okay. Sorry, go ahead.
Daniel Guardiola: No. I was going to ask you -- my second question is related to production. And I wanted to -- maybe you could share with us more details on the expected production from the main fields, Llanos 34 and CPO-5, in 2021 and onwards, considering that you increase your CapEx or your working program for this year.
Andrés Ocampo: I think it's more or less -- the breakdown is more or less similar to what we used to have, probably has a little bit more weight in -- particularly, on the second half in Platanillo because we are adding two wells to be drilled in that field and has an impact because we have 100% working interest. So -- but more or less, the target is -- Llanos 34 is between flat to a 5% growth, similar to what we had before, maybe a little bit higher than that.  CPO-5 was targeting to double production compared to last year. Platanillo, before we were targeting a small decline, and now we're targeting a small growth, maybe 0% to 5%. The rest of Colombia is relatively flat. Chile is flat. Argentina and Brazil are also flat. So that is more or less the breakdown on where the difference is going to come.
Daniel Guardiola: Andrés, and if I may squeeze a follow-up regarding production. I remember that before the pandemic started, you were targeting to reach plateau production in Llanos 34 close to 80,000 barrels of oil per day, if I'm not mistaken. Does it make sense to once again reach those levels, considering the current environment of our price?
Andrés Ocampo: The thing is that -- the things that you have to remember that after that, we spent 6 months or more with no activity in the block, and, obviously, the oil production declines. And then for some time, we had limited activity in the area. Until now, we are coming back to normal drilling activity with 3 drilling rigs in the area as we had before. So it's probably unlikely that we will reach that plateau following the fact that 6 months with no drilling. We -- the production declined something like -- on a growth basis was probably 6,000 to 7,000 barrels a day.  So I don't think that the 80,000 is the plateau now. And I think what is important is what I said before, more than focusing on how much will it grow, I would really focus on how much cash is going to be generating. This year with $60 million, $70 million of CapEx just a $50 Brent is going to generate more than $250 million of operating netback. And that's our main focus right now, really showing fancy, shining growth rates would better show profits.
Daniel Guardiola: Okay, Andrés. Just a very brief last one. When you look, I mean, your cash flow generation or expected cash flow generation for 2021, it's expected to be very healthy, especially considering -- comparing it against 2020. And I wanted to ask you, I mean, what are going to be your priorities to use that excess of cash in 2021?
Andrés Ocampo: I think we can summarize that as the main priority always is to reinvest in our assets. And then the second one is a combination of deleveraging and shareholder value returns. So those are the 3 biggest elements that are going to be taking -- that are probably going to be taking the cash that we generate in 2021.
Operator: And at this time, I'm showing no further questions. I'd like to turn the floor over to Andrés Ocampo for any additional or closing remarks.
Andrés Ocampo: Thank you, everybody, for your interest in GeoPark and your continued support of our company. As the world's borders begin to open again, we encourage you to please visit us at our operations in each country. Our shareholder value team has accelerated their interactions in this year than ever with webinars, video conference and direct calls, and is available around the clock as is our management team to answer any questions or listen to your comments. So thank you, and please stay healthy and strong.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may now disconnect.